KC Katten: Thank you for joining us today to discuss e.l.f. Beauty's Fourth Quarter and Fiscal 2021 Results. I'm KC Katten, Vice President of Investor Relations. With me today are Tarang Amin, Chairman and Chief Executive Officer; and Mandy Fields, Senior Vice President and Chief Financial Officer. We encourage you to tune into our webcast presentation for the best viewing experience, which you can access on our website at investor.elfbeauty.com. Since many of our remarks today contain forward-looking statements, please refer to our earnings release and reports filed with the SEC where you'll find factors that could cause actual results to differ materially from these forward-looking statements. In addition, the company's presentation today includes information presented on a non-GAAP basis. Our earnings release contains reconciliation of the differences between the non-GAAP presentation and the most directly comparable GAAP measure. With that, let me turn the webcast over to Tarang.
Tarang Amin: Thank you, KC, and good afternoon, everyone. I hope that you're well. Today, we'll discuss our results in the fourth quarter full year fiscal 2021 and outlook for fiscal 2022. I want to start by recognizing our e.l.f. Beauty team. We have much to be proud of in fiscal 2021. Q4 marked our ninth consecutive quarter of net sales growth. While the color cosmetics category was negatively affected by the COVID-19 pandemic, our outperformance throughout the year underscored the strength of our business model. In fiscal 2021, e.l.f. Cosmetics was the only top five color cosmetics brand to post growth. And the only top five brand to gain share with 5.7% of the market, up 100 basis points year-over-year. We advanced our transformation to a multi-brand portfolio with the recharge of W3LL PEOPLE and launch of Keys Soulcare. We also continue to lead with purpose, e.l.f. Beauty stands with every eye, lip, face and paw. Since our founding, we've had a deep commitment to diversity and inclusion. We're one of only five public companies in the U.S. with a board of directors that has over 55% women and over 20% black representation. We're proud that our employee base, which is over 75% women, over 40% diverse and over 60% millennial and Gen Z is representative of the young diverse consumers we serve. We achieved a significant milestone on our sustainability journey this year, reducing an estimated 650,000 pounds of excess packaging through Project Unicorn. We accomplished all of this with an unwavering focus on executing our five strategic imperatives. Let me provide a few highlights from the year. Our first strategic imperative is to drive brand demand. e.l.f. Cosmetics now has nearly 12 million followers across our digital ecosystem, growing double-digits year-over-year. Our earned media value was up 29% compared to prior year and we're the only brand growing in our competitive set. We continue to find innovative ways to engage and entertain our community, moving far beyond traditional beauty boundaries. In music, we became a global sensation with our first TikTok hashtag challenge, featuring our original Eyes. Lips. Face. song, which remains one of the most viral campaigns in TikTok history. We are the first beauty brand to drop a holiday album, launch a campaign on Triller and have four songs make the U.S. and global billboard’s Triller top 20 list. This year's Beautyscape event, The Remix infuse the power of makeup and music and feature three musical artists, including Grammy nominated global superstar, Tove Lo. We ventured into gaming, which resonates strongly with our young diverse community. We are the first major beauty brand to launch a branded channel on Twitch named e.l.f. You. Our Twitch channel champions’ female empowerment in gamers and features new streams every week. Our first live stream generated nearly 1 million views. We also teamed up with Loserfruit, also known as Lufu, one of the world's top female gamers. The response to our collaboration has been overwhelming with over 37,000 hours of e.l.f. content watched. We also ventured into original content creation with the release of Eyes. Lips. Famous., the first ever TikTok reality show. The show generated 38 million views over 3,000 submissions. And even the TV industry took note. We also explored unexpected brand-on-brand partnerships with like-minded disruptors. In March, we launched a limited edition product collaboration with Chipotle. The collaboration generated 4 billion press impressions and sold out in record time across multiple online channels. Tapping into e.l.f.’s superpowers of being vegan and cruelty-free, Chipotle offered a limited edition Eyes. Chips. Face. Bowl, a beauty-inspired all-vegan entrée. The bowl marked the first-time Chipotle introduced a menu item in collaboration with another consumer brand. Our brand building efforts continue to win awards. This year, we're recognized as one of Beauty's Most Powerful Brands, Newsmaker of the Year and one of the Top 10 Marketers of the Year among many other awards. We increased our rank in Piper Sandler's semi-annual teen survey from fourth favorite cosmetics brand last year to second this year, and just eight votes away from the number one spot, reflecting our growing appeal with Gen Z. We took an important step in our transformation to a multi-brand portfolio with the launch of Keys Soulcare, our groundbreaking lifestyle beauty brand with Alicia Keys focused on holistic wellness. Keys Soulcare carves out a new category in beauty called Soulcare, going beyond skincare to care for the body, mind and spirit. [Video Presentation] Keys Soulcare is off to a great start. We're encouraged by the global recognition the brand is receiving with over 15 billion press impressions, as well as numerous brand and product awards. All in just few months since launch. Alicia is an inspiration to so many. The brand is resonating with a broad set of global consumers with a healthy mix of both men and women. Instagram engagement metrics are trending well above platform averages. We're particularly excited about the level of engagement we're seeing with consumers on keyssoulcare.com. Our weekly email newsletter subscriptions are growing and our SMS text messages are proving to be one of our strongest conversion driving channels. Looking to W3LL PEOPLE, this was our first full year operating this plant-powered clean beauty brand. The key theme this year was recharge as we transformed many aspects of the brand, including price points, imagery, website, social channels, media strategy, and the in-store experience. In the coming months, we're excited to phase a new packaging that provides a fresh expression of the brand. We feel great about W3LL PEOPLE and are encouraged by the momentum we're starting to see. Our second strategic imperative is a major step up in digital. Digital consumption remains strong throughout fiscal 2021, up triple-digits year-over-year, with strength across elfcosmetics.com, retailer dot-coms and Amazon, digital channels expanded to 17% of our total business, up from 9% a year ago. On elfcosmetics.com approximately 75% of our shoppers this year were new consumers. These consumers are over-indexing on skincare and signups for our Beauty Squad loyalty program. Beauty Squad now has over 2.4 million members, up 40% year-over-year. Our loyalty members have higher average order values, purchase more frequently, have stronger retention rates and drive almost 70% of our sales on elfcosmetics.com. Our third strategic imperative centers on leading innovation. e.l.f. Cosmetics saw continued success in fiscal 2021 in our core segments, brushes, primers, concealers, brows, and sponges, which make up approximately half our sales. We have the number one or two position in all five segments and continue to drive market share gains in each. Looking beyond our core segments, we continue to leverage our unique ability to create prestige quality products at extraordinary prices. Two of our biggest launches were Camo CC Cream and Lash it Loud Mascara, which are helping to drive momentum in foundation and mascara, the two largest categories within color cosmetics. In Q4, Camo CC Cream was our top selling product. Skincare remains a major focus of our brand portfolio. e.l.f. skincare consumption for the year was up 22% in track channels versus a category that was down 3%. Keys Soulcare further fuels our momentum and overall product range in this category. The brand's initial skincare collection includes nine product offerings with dermatologist developed, clean formulas, skin nourishing ingredients, and soul nurturing rituals. The consumer response has been incredible with average product ratings of 4.9 out of five stars on keyssoulcare.com. Our fourth strategic imperative is driving productivity with our national retail partners. e.l.f. Cosmetics maintained its industry-leading productivity on a sales per foot basis at both Walmart and Target, our two largest customers. We are also pleased with the space expansion we earned with both Walmart and Ulta Beauty. For context, Target is our most developed and longest standing national retailer and our store footprint today is about 11 feet on average. This is significantly less than many of the legacy color cosmetics brands, yet e.l.f. achieved the number $2 share position up from number three last year. Our average footprint in Ulta is now about eight feet. And in Walmart is about six feet. Even with the space expansion we earned this past year, we see shelf space opportunity with all of our key retailers. We achieved new milestones internationally, which make up approximately 11% of our business. e.l.f. now ranks number eight in mass cosmetics in the UK, up from number 12 last year, and was the only top 10 brand to post growth. In fiscal 2021, we launched e.l.f. Cosmetics with new international customers like Shoppers Drug Mart in Canada, and expanded in new geographies like India and Italy. Our fifth strategic imperative is delivering cost savings to help fuel brand investments. We're pleased with the 80 basis points of gross margin expansion we saw this year against tariffs related pressure and growing FX headwinds. Our operations team continues to generate cost savings by lean manufacturing techniques that have contributed to our strong gross margin rates. Additionally, this year, we successfully transferred all W3LL PEOPLE products to our operations platform, unlocking significant COGS savings, which we redeployed into more accessible pricing. We believe our scalable asset-light supply chain in China is a competitive advantage that enables us to deliver the best combination of cost, quality and speed across our brands. Like many companies, we're seeing global imbalancing containers, which is slowing some of our shipments and increasing our transportation costs. Mandy will speak more about this shortly. In other operational matters, we're no longer pursuing our liquid fill manufacturing facility in California. The plant had faced a number of COVID related delays. As we got deeper into the engineering work and revised business case, we made the decision to stop further investment and instead focus on the competitive advantage we have with our existing supply chain. We plan to continue to look for ways to both strengthen and diversify our supply chain over time. To that end, in fiscal 2021, we started operations with new suppliers in both Thailand and Taiwan that can leverage a chassis and multifunctional team we have in China. The progress on our five strategic imperatives has been terrific and we believe we're still in the early innings with each. Before I turn the call over to Mandy, let me provide a bit more perspective of why I'm optimistic that we can continue our momentum into fiscal 2022. First, we plan to continue being E.L.F. ING disruptive, pushing even further in a new digital frontiers like gaming to bring new consumers to our brands. We recently announced a partnership with TikTok and Enthusiast Gaming, the largest gaming media platform in North America. To launch TikTok Gamers Got Talent. This seven week live series follows contestants as they showcase their talent and compete in front of millions of fans for a chance to win $25,000, and of course, e.l.f. products. The TikTok Gamers Got Talent hashtag generated over 5 billion views in the first three days and is now over 13 billion views in just a few weeks. We also plan to continue unexpected partnerships with like-minded disruptors. As just one example, in April, we announced a collaboration with Beauty entrepreneur, Jen Atkin, the founder of Ouai Haircare and Mane Addicts. [Video Presentation] The second thing that gives me confidence is that we still see a significant amount of white space across categories, geographies, and our expanding brand portfolio. We plan to push further into larger categories like foundation, mascara and skincare. In skincare for example, we're pivoting our marketing strategy to treat e.l.f. skin as our fourth brand in our portfolio. While color cosmetics purchases are often driven by inspiration and impulse, skincare purchases are generally driven by efficacy and education and require a different way to engage with consumers. We're excited about both the marketing strategy and innovation we've planned for e.l.f. skin in fiscal 2022. From a geographical perspective, Keys Soulcare is accelerating our global retail strategy. In the U.S. Keys Soulcare represented Ulta's first ever entire store takeover in both sight and sound key. Keys Soulcare is also opening new doors internationally, like Douglas. We're excited about the execution you'll see in the coming months, as we launch in eight countries across the EU. Looking ahead, we believe we're still in the early stages of realizing the full potential of our business and see significant opportunity in fiscal 2022 and beyond. Our business results are strong entering the pandemic and our digital strength, core value proposition and ability to adapt at e.l.f. speed have continued to fuel our performance. Today with a more diversified brand portfolio, we believe we're positioned for an even brighter future. I'll now turn the call over to Mandy.
Mandy Fields: Thank you, Tarang. I am pleased to share the highlights of our outstanding fourth quarter and full year fiscal 2021 results. We ended the year strong. In the fourth quarter, net sales grew 24% versus prior year driven by ongoing momentum for the e.l.f. Cosmetics brand, benefits from stimulus-related spending and the launch of Keys Soulcare. We also delivered 14% growth and adjusted EBITDA with ongoing investment in marketing and digital, as well as increasing FX headwinds to our gross margin. Let's now turn to our full year fiscal 2021 results. We delivered net sales growth of 12% with broad-based strength for e.l.f. Cosmetics across e-commerce, international and our national retailers. We also benefited from the launch of Keys Soulcare and a full year of W3LL PEOPLE. Gross margin of 65% was up approximately 80 basis points compared to prior year, we saw gross margin benefits from margin accretive innovation, cost savings and a mix shift to elfcosmetics.com. We also benefited from FX, although much less so relative to prior years, as we started to feel the impact of changing FX rates. Partially offsetting these benefits were costs related to retailer activity, space expansion, inventory adjustments, as well as the impact of tariffs. On an adjusted basis, SG&A as a percentage of sales was 52%, compared to 49% last year, primarily driven by increased investment behind marketing and digital, headcount costs related to the build-out of our marketing, digital and innovation capabilities and increased operational costs related to higher e-commerce volume. Marketing and digital investment for the year was approximately 16% of net sales versus 13% a year ago. Fiscal 2021 adjusted EBITDA was $61 million down 2% to last year and adjusted EBITDA margin was approximately 19% of net sales. Adjusted net income was $37 million or $0.71 per diluted share compared to $32 million or $0.63 per diluted share a year ago. Our liquidity remains strong with the combination of our cash balance and access to our revolving credit facility sitting at over $130 million. We ended the year with $58 million in cash on hand, compared to a cash balance of $46 million a year ago. In April, we refinanced our existing credit facility into a $200 million facility with $100 million of term loan and $100 million of revolver. We were able to improve terms across the board, including better pricing, taking advantage of favorable market conditions and the opportunity to further bolster our balance sheet flexibility. Our ending inventory balance was higher on a year-over-year basis as planned and $12 million lower than where we exited the December quarter. We expect our cash priorities for the coming year to remain focused on investing behind our five strategic imperatives and supporting our strategic extensions. Now let's turn to our outlook for fiscal 2022. As a reminder, fiscal 2022 will be the first year within our three year long-term economic model, which targets compounded annual top line growth and the mid-to-high single-digits with adjusted EBITDA growth outpacing net sales growth over that horizon. For the full year, we expect net sales growth of approximately 8% to 10% tracking at or ahead of our long-term economic model. We expect adjusted EBITDA to grow slightly faster than net sales resulting in adjusted EBITDA margin expansion of approximately 5 to 10 basis points year-over-year and adjusted EBITDA between $66 million and $67.5 million. We expect adjusted net income between $35 million and $36.8 million and adjusted EPS of $0.64 to $0.67 per diluted share. We expect a fully diluted share count of approximately $55 million shares and our fiscal 2022 tax rate to be approximately 24% to 25%. Let me provide you with a little more color on our planning assumptions for fiscal 2022, starting with the top line. Our top line outlook reflects continued momentum for the e.l.f. Cosmetics brand. We also expect net sales to benefit from a full year contribution of Keys Soulcare and an increase year-over-year from W3LL PEOPLE. There are two key factors balancing that momentum. First, we have not assumed any major space gains for e.l.f. Cosmetics in our fiscal 2022 outlook, as compared to significant retailer space expansion we enjoyed in fiscal 2021. Retailer space decisions typically come later in the year and we don't have confirmation of any major space gains as of the date of this call. Second, as Tarang mentioned, we have recently experienced delays in shipments from China as a result of the container shortages and port congestion that many other companies have spoken about. This is resulting in shipment delays and elevated transportation costs, as we work to meet consumer demand. We’ll closely monitor these impacts, as we move through fiscal 2022. Turning now to adjusted EBITDA. We are planning for adjusted EBITDA margin expansion of approximately 5 basis points to 10 basis points year-over-year. We expect gross margin will be down year-over-year, as we face growing FX headwinds and rising material and transportation costs. We are pulling levers where we can to help offset a portion of these gross margin impacts, including through select price increases and cost savings initiatives. As a result, we expect SG&A leverage to drive our expected adjusted EBITDA margin expansion this year. Both as we take a sharper look at our key non-marketing areas of spend, and as we start to scale the Keys Soulcare and W3LL PEOPLE brands. Of note, we're planning for marketing and digital spend to continue at approximately 14% to 16% of sales in fiscal 2022. From a cadence standpoint, we expect top line growth to be strong as in Q1, as we benefit from stimulus related spending on top of our ongoing portfolio momentum. Conversely, we expect adjusted EBITDA margins will be most pressured on a year-over-year basis in Q1, this is largely a result of the gross margin pressures we just spoke about, coupled with a planned step up in marketing spend as a percentage of sales, as we lap lower marketing levels in Q1 last year, during the initial months of the pandemic. In summary, we're pleased with our outstanding results in fiscal 2021 and excited about the opportunities ahead in fiscal 2022. Our performance over the last nine quarters, both on an absolute basis and relative to the category, demonstrates how our five strategic imperatives are driving results and gives me confidence for the future. With that operator, you may now open the call to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today will come from Dara Mohsenian with Morgan Stanley.
Dara Mohsenian: Hey guys. So I just wanted to touch on the revenue side. Obviously you came in above your expectations in Q4. Can you just help us understand what drove that upside, how sustainable some of those items may be as you're looking out over the next few quarters? And then in terms of the U.S. cosmetics category, what you're seeing so far in fiscal Q1, given you're two months into the quarter? How is the recovery progressing on it, your real basis or looking back to 2019? So a bit of color on the category rebound here and what you're seeing in the last couple of months maybe post the quarter? Thanks.
Mandy Fields: Yes, no problem. All right. So I will start with Q4 and the key drivers that drove that 24% growth. I'll start off by saying we're very pleased with the 24% growth that we saw in Q4. Really that was driven by four key factors. One is just the ongoing momentum we have with the e.l.f. brand, we saw that continue into Q4. Secondly, is the impact of stimulus. This third round was by far the largest impact that we've seen out of the three stimulus rounds, so that also had an impact. I would also say that Keys Soulcare and pipeline related to that launch added to our sales in the quarter. And then lastly, we also spoke last quarter about order shifting out of Q3 into Q4 that also had an impact to the quarter. So I would say overall pleased with the underlying momentum that we saw in the quarter, but certainly also some stimulus related things that we think will kind of roll off, we talked about Q1 being stronger behind stimulus as well. And so, you'll see that continue on into Q1.
Tarang Amin: Okay. And then on your question on the category, we're definitely seeing a resurgence in color cosmetics. I think in the last four weeks in scanner data, the category was up 32%, we were up 52% over that same time period. So we're seeing even stronger results on e.l.f. But from a perspective of a broader view, I would say the category is still not back to where it was in 2019. I think it's down 3% relative to where it was in 2019. So we're seeing a recovery, we have further to go. We're encouraged by as people get more vaccines, as restrictions are lifted, as people get back into retail, we're quite bullish on the category going forward. Certainly stimulus was a benefit, but even as we start lapping some of the stimulus spending and looking at last year stimulus around this time, we're still encouraged by what we're seeing overall.
Dara Mohsenian: Okay. And if I could just follow-up on the shipment issues with containers, et cetera. Is that more of a short-term issue in the next few weeks here? Or is that something that could linger as you look out going forward? And how do you think about, if there is potential upside for the year your ability to actually supply products in terms of incremental retail demand versus what you're expecting? Thanks.
Tarang Amin: Sure. So like many other companies, we’re facing that imbalance in global containers, and I will say that's going to impact us for at least the next few months. What I would tell you is imbalances tend to balance out, even in our history we've had periods where you've had port strikes, other disruptions in supply. We feel confident in terms of our overall capacity and ability to manufacture products and our guidance is reflective of the imbalance that we're seeing. So the 8% to 10% revenue growth takes into consideration any of the supply and balance that we're seeing currently.
Dara Mohsenian: Great. Thanks.
Operator: Our next question comes from Erinn Murphy with Piper Sandler.
Erinn Murphy: Great, thanks. Good afternoon. My question is around the Keys Soulcare brand. I was curious if you could speak a little bit more about the response thus far, particularly internationally. And then if you think through the guidance for the year, I'm not sure if you're – Mandy, if you're breaking out kind of what Keys could contribute. But if you could just help us shape how like the pipeline fill will look as we move throughout the year, if there is any specific quarter to call out as you kind of roll out in additional retailers abroad? And then I have a quick follow-up. Thank you.
Tarang Amin: So Erinn, we're really pleased with the launch of Keys Soulcare. As I mentioned in the prepared remarks, since we announced the brand we've had over 15 billion press impressions, our Instagram engagement rates are higher. And we're particularly pleased with what we're seeing in terms of support from our key customers. So in our Ulta Beauty launch, it was the first time ever that they dedicated the entire store takeover to a brand launch, we were at the front of the store for 12 weeks. As we've moved on to an end cap in their procedure section, we’re really pleased with kind of what they're doing behind the brand. We're equally pleased with the plans that Douglas has against the brands. So internationally Keys Soulcare will definitely accelerate our move internationally as a global brand. What I tell you internationally right now is, much of Europe has been shut down. So some of our launches did move out a few months particularly in Germany, which is still closed, but we're encouraged as markets start to open up as vaccination rates get better there, you'll hear us talk more about Keys internationally. I'm excited for you to see what that looks like as Douglas goes up.
Mandy Fields: Yes. And then Erinn, just on your question on the impact to the quarters and what are we seeing. So we're not breaking out the impact of revenue for each of the brands. But I can say that pipeline or new product launches, all of those things that is embedded within our 8% to 10% guidance that we've provided.
Erinn Murphy: Okay, great. Thanks Mandy. And just a quick follow-up for you, Mandy, on pricing for the e.l.f. brand, I think you were taking some pricing. Has any of that gone in what percent of its skew base have you taken price on and just curious if there is been any consumer response, as you think about mitigating factors to some of the gross margin pressures you called out? Thanks so much.
Mandy Fields: Yes, and so we did talk about using pricing as a lever, we talked about that last quarter. And I can say that, that pricing has – is in effect now, in May we took that pricing, we'll take some time for that to show up at shelf, just similar to our July of 2019 price increase that we took. And at that time recall, we took pricing on about a third of our skews. I can say for this round in the U.S. it is much smaller, and internationally, we did not take a price increase in 2019. So this is a larger price increase I would say internationally versus what we took in the U.S. here in May. So that is definitely a lever we're looking to, to help offset some of the FX headwinds we've spoken about and we'll have more to say on that in the coming months.
Erinn Murphy: Great. Thank you.
Mandy Fields: Yes.
Operator: Our next question comes from Andrea Teixeira with J.P. Morgan.
Andrea Teixeira: Thank you, and congrats on the quarter. I appreciate your commentary about the disruptions. But I think it would be helpful if you could give us how much you're baking in. Is that 100 bps or 200 bps of the outlook and – I think we all understand we've been to the comeback, right? So I'm assuming you're not thinking it will come back in fiscal 2022. And then related to that, I understand Mandy, you don't want to break down by brand, but if you can give us an idea if you're looking at underlying with impact from the disruptions that you have in the supply chain to be around the mid single-digit for organic, and then the best thing your contribution from both Keys Soulcare and W3LL PEOPLE? And then I have a follow-up on the diluted number of shares.
Mandy Fields: Yes. Okay. So let me take the underlying impact question first on just trying to understand the trends that we're seeing by brand. I would say that, like I said in our prepared remarks, we’re really pleased with the underlying momentum that we have on the e.l.f. brand. And I think that a lot of the analysts and investors look to Nielsen data to kind of get a pulse on where we're seeing trends on the e.l.f. brand. I will say that looking at Nielsen, we do expect that to be a little bit volatile, right, because we're a cycling stimulus in the base and a lot of moving parts as we go through, we have stimulus now on top of stimulus. So there is – that's said, we just feel strong about where we're positioned from an e.l.f. standpoint. Keys and W3LL PEOPLE, W3LL PEOPLE, this will be kind of a growth year for W3LL PEOPLE, I would describe it with the recharge and packaging and that's showing up at shelf. We certainly expect that to have an impact. And then with Keys Soulcare, it will also be incremental, if you're thinking about how you build that up as we launch more broadly, internationally and build momentum behind that brand. So that's the additional color I can give you behind each of our brands.
Tarang Amin: Yes. And then on the container imbalance, what I tell you is, it's definitely impacting our fulfillment rates right now, but one of the benefits we have is each of our retailers carry a significant amount of inventory. So we haven't seen a major impact yet in terms of in-stock levels, those are still pretty healthy. And so, as we managed through that, we've embedded it in our guidance in terms of what we'd see, particularly through the front half of the year. And we'll learn more and we'll report on that as we go forward, hopeful that imbalance will balance out and we'll be able to get more containers in.
Andrea Teixeira: Yes. On that, I mean, is that critical for your summer launches, right, if you will, like late summer launches, but you were saying you feel confident that the second quarter calendar would be not as bad from what you just said about the beginning, it sounds as you feel very confident with, as you said, like you – high few rates for the initial summer, which is obviously the June quarter. And then we have to monitor what's going to happen to the fall. Is that the way we should be thinking? And then hopefully by the December quarter you’re going to be in a better - a much better position again.
Tarang Amin: That's what we hope. I mean, it's still a dynamic situation, so we'll monitor it. What I would tell you is the fall resets, which is a key part, which we usually ship during summer. We are supplementing our shipments with some air freight to be able to make sure that can set those shelves properly and on time. And that's reflected in some of the cost pressures that Mandy talked about.
Andrea Teixeira: And one last – that's helpful. And one last thing Tarang – the dilute number of shares was a little bit higher, I think obviously last year may not be – the last fiscal year may not be representative of what your compensation, SBC and all of those moving parts. Can you help us like understand what are the puts and takes there?
Mandy Fields: Yes, Andrea. Just on the share count that we provided, if you look at our Q4 fully diluted share count was around 53 million shares. If you recall out, in our evergreen, we talked about the share count, the burn rate going down to 2%, so you can add that on to the 53 million where we exited Q4. And then additionally, we have had an appreciation in the share price, so many in anti-diluted shares have turned into our diluted share count and so that's also being added in. And so, that's how we're getting to that kind of that 55 million range for fiscal 2022
Andrea Teixeira: Also for the reasons, okay, perfect. Thank you so much. I'll pass it on.
Mandy Fields: Yes.
Operator: Our next question comes from Linda Bolton Weiser with DA Davidson.
Linda Bolton Weiser: Yes. Hi, thank you. So can you just talk a little bit about your comment about treating skincare as a fourth brand, that sort of sounds to me like maybe needing more marketing investment behind it. And does that mean you get less kind of halo effect as the overall brand kind of boosting both? I mean, what – can you just give more color on what you mean by treating it as a fourth brand? Thanks.
Tarang Amin: Sure, Linda. We've seen great momentum in skincare, and in fact, if you take a look at that track channel sales e.l.f. skin was up 22%, this last fiscal year in a category that was down 3%. So we've been having momentum for quite some time executing on our strategy. This just reflects the growing strategic importance of skincare as part of overall portfolio. Obviously Keys Soulcare was launched skincare first as a category on e.l.f., we have high hopes and plans for skincare. So it doesn't necessarily impact our marketing levels, we're staying consistent in that 14% to 16% overall for marketing as a percent – marketing and digital as a percent of sales. It just reflects – the reflection that skincare, the approach to skincare is different than color cosmetics. While color cosmetics, purchases are often driven by impulse and trend, skincare we're finding through our own history is really driven by efficacy and education. And so really taking that approach of really treating skincare differently than color cosmetics, I think really builds on the success that we've been having.
Linda Bolton Weiser: Great. Thank you. And then just on the Keys Soulcare line, you've talked about further expansion geographically coming up in the next year. Is there any timeframe for launch of additional skews to the line?
Tarang Amin: There is Linda, we have Keys Soulcare, it was different in its approach in two ways. One is a true lifestyle beauty brand focused on content, community and conversation. But in addition to that, it's multi-category in scope. So we started in skincare, I think there is a piece where we announced today that our next category will be body. They’ll be coming out with three new products in the body range, and you'll see that follow-up with additional other categories in skews. We have a robust innovation pipeline that you'll continue to see a stream of new product news on Keys Soulcare throughout the year.
Linda Bolton Weiser: Great. And then I guess just a question on your cash flow in the fourth quarter was actually a little bit better than we had projected, and you've got a nice healthy cash balance. Is there any thought to returning to share repurchase and kind of, what are your thoughts on additional acquisitions now that you've kind of relaunched the W3LL PEOPLE and gotten the Alicia Keys off the ground, what are your thoughts there?
Mandy Fields: Hi, Linda. So on the share repurchase front, we are just backing up to just cash overall and our priorities, our cash priorities as we look forward are really focused on our strategic imperatives and strategic extensions, supporting Keys Soulcare and also supporting W3LL PEOPLE. From an acquisition standpoint, we have been very thoughtful on that front with W3LL PEOPLE being our first acquisition last year, it's something that kind of – is on our priority list, but feel that we are – our hands are full at this point with Keys and W3LL PEOPLE.
Tarang Amin: And the only other thing I would add Linda is, when we think of strategic extensions, it's not only potential tuck-in acquisitions, it's also incubating new brands. And I think the success we have with Keys Soulcare shows the capability of our team of kind of, I think we stood up that brand in about a year's time. So we're definitely interested in enhancing kind of our product portfolio, brand portfolio with other brands that we either acquire or build in-house.
Linda Bolton Weiser: Okay, great. Thank you very much.
Operator: Our next question comes from Steph Wissink with Jefferies.
Steph Wissink: Thank you. Good afternoon, everyone. I have a question just on the sales and EBITDA growth tracking together, even with the gross margin pressure. I think Mandy, you mentioned this is the first in a three year target period to grow EBITDA faster than sales. If you were to see gross margins be less pressured than what your guidance embeds, is that where the source of upside likely comes from, or do you expect to spend that back to try to drive upside to the sales line?
Mandy Fields: Thanks for the question, Steph. It's always a balance. We do feel like the gross margin pressures are real. And so that's why we have pulled other levers within our toolkit to help offset some of those gross margin pressures. So the pricing that we just took focusing on the non-marketing expenses within SG&A to help deliver that five to 10 basis points of EBITDA leverage. Now as we look out and think about our long-term economic model, what we talked about was a three-year view on that so with EBITDA outpacing over that three-year period. And so that's what we continue to be focused on. So I feel great that even in a year with great cost pressures, we are still talking about delivering leverage and demonstrating EBITDA growth. And we'll just take it kind of one quarter at a time as we see how things materialize.
Steph Wissink: Mandy, if I could, I think you gave some specificity around Q1 mentioning that marketing was going to be up year-over-year, just given that it was down below your threshold last year. Can you remind us kind of what that step function could look like year-over-year, just for modeling purposes?
Mandy Fields: Sure. So let's see here, so last year if you recall, Q1 of last year, that was kind of in the beginning of COVID and we've had really pulled back on our marketing investment. So you're going to see some step up there, last year our marketing investment was only 11% of sales in Q1. So we talked about 14% to 16% for the year, so certainly expect to see a step up there in Q1 of this year.
Steph Wissink: Thank you very much.
Mandy Fields: Yes.
Operator: Our next question comes from Bill Chappell with Truist Securities.
Bill Chappell: Thanks. Good afternoon.
Tarang Amin: Good afternoon.
Bill Chappell: Hey Tarang, can you talk a little bit more about the decision to walk away from the domestic manufacturing? Are you giving up anything in terms of potential gross margin expansion? Did you find cost savings elsewhere? Does that mean you're permanently going to stay kind of out of the domestic manufacturing? Just, I know this project has at least a year long into the process, so it's a little surprised that you're pulling the plug now.
Tarang Amin: Yes. Well, Bill, I would say first and foremost, we're really happy with our overall supply chain and operations advantage we have in terms of our combination of cost, quality and speed. We originally done the business case on the U.S. plant in Southern California, it really based on three things. One was cost savings, two was supplier diversification and the third was lead time reduction. Now that plant had faced a number of delays related to COVID-related delays. So by the time we're able to actually get into the engineering work, we really evaluated the cost profile of that facility relative to what we get from the rest of our supply chain and determined that it was going to take a lot more money to be able to realize its full potential. Now having said that, so that was an easy decision from a business standpoint of saying let's not pursue, let's not put more money into that facility relative to the advantage we have in the rest of our supply chain. We remain interested though in diversification and lead time reduction. And so on the diversification front, as I mentioned, the same time that we face COVID-related delays on the Southern California facility, we did start up new suppliers in both Thailand and Taiwan that gives us the diversification, but still leverages the power that we have in our multifunctional team in China. And I would say, in terms of domestic manufacturing or other sources of manufacturing will remain open as long as the business case pans out. So I'd say, we're always looking to see how we can further strengthen the advantage we have in our operations. And it just wasn't the case in that particular facility.
Bill Chappell: And just picture that there's no write down or charge off for that that I saw?
Mandy Fields: Yes. Bill, we do have a restructuring charge that we took in Q4 of $2.6 million related to that closure.
Bill Chappell: And that was the entirety?
Mandy Fields: That's right.
Bill Chappell: Got it. And then just switching gears on as I look at the shelf space gains, Mandy, you said, your guidance doesn't include any shelf space gains. I think I'm right in saying that the spring is more of – it's a bigger time for shelf space gains in the fall. But if you're going to get ones in the fall, would that we'd know that over the next couple months, is this what you're in the process of? And is there a chance that you get shelf space gains or are we kind of past that where you're not expecting a whole lot new in the fall and you're more just velocity of existing space.
Mandy Fields: Yes. So like I said, in our prepared remarks, no indication of shelf space gains at this point. But we remain hopeful and I believe we have a track record of getting shelf space gains each year. We just haven't baked that into our guidance because we usually will do that once we do have confirmation of such gains.
Tarang Amin: And the decisions, Bill, for this spring really are made a little bit later this summer. And so as Mandy says, we're quite hopeful given the momentum that we have, not only the amount of share we grew last year, our overall productivity, our innovation pipeline and consumer appeal. So we stand, I think, stronger than we've ever stood in terms of our ability to get more shelf space. We just didn't want to cloud guidance with expectations on shelf space. So it's clean from a standpoint of no space. And if we did get confirmation on more space, we'd update the guidance throughout the year.
Bill Chappell: Got it. Thanks so much.
Mandy Fields: Yes.
Operator: Our next question comes from Jon Andersen with William Blair.
Jon Andersen: Hey, good afternoon everybody. I just have one quick one on W3LL PEOPLE. If you could talk a little bit more about your plans for W3LL PEOPLE this year, it sounds like there's been a restage that's going on, but if you could describe if you'll be gaining new distribution as well. I think at the time of the acquisition, one of the theses was that you could leverage your trade relationships, particularly with national retailers to perhaps expand the distribution for that brand. So just some more color around your plans for W3LL PEOPLE this year and what kind of underpins the growth as you see it. Thanks.
Tarang Amin: Sure, Jon. So on, W3LL PEOPLE, we are highly encouraged with the plans that we have. There are really four key focus areas. First is recharging the brand similar to what we did with e.l.f. and you see an entirely new brand expression on W3LL PEOPLE, everything from its positioning to packaging that you'll start seeing rollout over the next few months. The second is innovation, really leveraging our strength in innovation and building out the product assortment on W3LL PEOPLE that you'll start seeing some of those new products coming out. I'd say, the third is putting it on our operating platform. So we were able to basically reformulate every single product in the W3LL PEOPLE range, move it onto our operating platform, realize significant COG savings that we put into sharper pricing and that brand recharge. And then the fourth element is distribution. And our key focus on distribution, I would say is Target and Ulta. Target is where the brand historically was most developed. Feel like we have further to go with Target. Ulta, we were already part of the conscious beauty initiative at Ulta, we’ll be looking to leverage that to more space within Ulta and then other customers. So we feel great and we're really pleased with the momentum that we're seeing right now in W3LL PEOPLE. And then the last thing I would say is W3LL PEOPLE also dramatically accelerated our own plans across e.l.f. in the clean beauty space. Keys Soulcare came out the door fully clean. One of the founders of W3LL PEOPLE, Dr. Renée Snyder, dermatologist really was instrumental with the development of that brand. e.l.f. is well on its way in terms of our own clean journey. I think in the next few months, you'll see e.l.f. be 100% clean as well. So there are other benefits W3LL PEOPLE got to the company beyond kind of the growth momentum we see in that brand.
Jon Andersen: Great point. Thanks for the help.
Operator: Our next question comes from Rupesh Parikh with Oppenhimer.
Rupesh Parikh: Thanks for taking my question. So I just want to go back to your comments on the reopening. I was just curious if you're seeing anything surprising as you look at consumer behavior out there. And then if you look at e.l.f. dot-com, are you seeing stickiness or maybe this skincare business as now, consumers may be also buying makeup as well?
Tarang Amin: Sure. So, I'd say on the reopening, it's consistent with what we'd expect. We've long talked about as things opened back up as there's more vaccines out there. People go back to normal behavior. You'd see a resurgence in color cosmetics and we very much are seeing that in category trends, but especially on e.l.f. where we were strong before during the pandemic and now kind of coming out of it. So hopeful on the category, as I said, the category is still not where it was two years ago, but we like the trends we're seeing, not only on e.l.f., but I'd say also in some of our key competitors and a lot of that's driven not only by consumers coming back, but the level of innovation that's out there, really pleased seeing kind of Maybelline’s Sky High Mascara, L'Oréal’s Infallible Foundation makes as a few new items. So we like seeing that activity in the broader category. We definitely believe that'll bring more consumers into the category, which is always a great thing for e.l.f. And then in terms of our online business, we had real strength there all throughout the year. It was up triple-digits for our last fiscal year. And one of the big drivers of it was quite a few new consumers, I think almost 70% new consumers. And so our real focus has been on retaining those consumers. So I’m particularly pleased with the progress we've had on our Beauty Squad loyalty program up almost 40% year-over-year in terms of total Beauty Squad loyalty members. And as I mentioned in the prepared remarks, Beauty Squad loyalty members, as well as the new consumers are definitely having a stronger affinity to skincare, which has been great for our overall basket building as well.
Rupesh Parikh: Okay, great. Thank you. I'll pass it on.
Operator: Our next question comes from Mark Astrachan with Stifel.
Mark Astrachan: Yes, thanks and good afternoon everyone. I guess couple directional follow-ups. One on this whole idea of e.l.f. skincare, does that ultimately into over time lead to more shelf space for that maybe even specifically within that category, in terms of the placement of it sort of separation from some of the makeup products and then directionally kind of, how do you holistically think about that? And then separately on the investment spend or marketing spend for this year? So I think you had said 14% to 16%, I guess, what factors drive where A&P spend finishes the year sort of keeping in mind that you're going to be up a lot in the first quarter. So that would apply down a bit in 2Q, 3Q, 4Q and how do you think about that? And as I said, what factors influence that and how quickly can you change it if you need to?
Tarang Amin: Sure. So e.l.f. skin, we definitely see expansion potential, not only in shelf space, but the number of new items. I think I've cited in prior calls that e.l.f. skin skincare as a percentage of our portfolio in track channels is single-digits overall, I think, about 9%, 8%, 9% yet on elfcosmetics.com and Amazon it's close to 25% of our sales. So and the biggest difference if you take a look at what's going on online versus in retail is a number of our skincare items on shelf. So we've already had a strategy even with the fall resets coming up of getting more of our skincare assortment onto retailer shelves. In addition, as we earn more space, we use that as an opportunity to increase our footprint on skincare, both in sets where skincare is housed within the overall e.l.f. set, similar to what we do with Target or places like Ulta Beauty, where skincare is housed in the skincare department, you see opportunity in both areas, both getting more assortment in as well as increasing our space. And then on the marketing side of what kind of Mandy add into that, but I'd say, we're comfortable with the momentum we've been able to drive at that 14% to 16%. And so the way we approach marketing is, we really said it as a rate on by brand, each brand has a different percent that we're targeting for that brand. And it goes pretty much hand-in-hand with the sales as we go through.
Mandy Fields: And I would just add to that, Mark that in terms of turning it off or turning it on because we have a completely 100% digital spend, we are able to move pretty quickly with the ebbs and flows of the business. So feel great about how we're managing that percentage over the course of the year.
Mark Astrachan: Thank you.
Operator: Our next question is a follow-up from Andrea Teixeira with J.P. Morgan.
Andrea Teixeira: Thank you for taking my follow-up. I just want to confirm like what you said Mandy on the pricing. So I understand you don't want to quantify but you said that pricing in the U.S. will be a little bit less than international. And you alluded to 2019 when you took pricing about a third of the SKUs. So how should we be thinking, and obviously starting now in May, so part of your first quarter is not going to be positively impacted? So how can we think about magnitude of price increases in fiscal 2022 that is embedded in your guide? And also if you – just another follow-up on e-commerce. So I think I understood Tarang, correct me if I'm wrong. You said 25%, but can you quantify, you did give us the number of Beauty Squad member growth, but if you can quantify the growth in e-commerce, that will be helpful, both retail.com and your own elf.com.
Mandy Fields: Okay. So I will take the pricing question. So in terms of impact, so we have talked about, again, it's small in the U.S., but broader internationally. If you think about international is roughly 11% of our business. You could assume that, it's roughly the same playbook that we took when we took in 2019, we've now applied that internationally as well. So it will have some impact to the business, Andrea, but not as large of an impact as we saw when we did this pricing in 2019. And again, we're not going, we're not pulling that lever as heavily because we still want to be sure that we're providing that value for our consumers. And so we're just not going to take pricing all the way up so that we maintain that balance with wanting to offset some of these FX headwinds with also delivering that value to our consumers. So we'll be able to report out on that potential impact next quarter when we report earnings. But that's how I'm thinking about it right now.
Tarang Amin: And then on your question on our e-commerce business online, our total e-commerce business, where we finished the year was about 17% of our total business. And it was up triple-digits. I think in the year before, e-commerce is only above roughly 9% in FY2020 – it's finished the year in FY2021 at 17% of our business. So we saw definitely a great growth rates there. And that growth was well-balanced between elfcosmetics.com, retailer.com and Amazon. So we saw growth across all three of the major areas that we look at our online business on.
Andrea Teixeira: Thank you. That's helpful.
Operator: This concludes our question-and-answer session. I'd like to turn the call back over to Tarang Amin for any closing remarks.
Tarang Amin: Well, thanks for joining us today. I'm so grateful for our incredible team at e.l.f. Beauty, who've collaborated to navigate the challenges of the pandemic and build our market share. I believe our future is bright and remain confident in our long-term strategy. We look forward to seeing some of you at the upcoming William Blair and Piper Sandler conferences, and speaking with you in August when we'll discuss our first quarter results. Thank you and be well.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.